Operator: Hello and welcome to the P10 First Quarter 2022 Conference Call. My name is Irene and I will be coordinating your call today. I will now hand you over to your host, Mark Hood, Executive Vice President of Operation and Investor Relations. Mark, please go ahead.
Mark Hood: Good afternoon and welcome to the P10 first quarter 2022 conference call. This is Mark Hood, EVP of Operations and Investor Relations. Today, we will be joined by Robert Alpert, Chairman and Co CEO. Clark Webb, Co CEO, Fritz Souder, Chief Operating Officer, and Amanda Coussens, Chief Financial Officer. Before we begin, I'd like to remind everyone that this conference call, as well as the presentation slides, may constitute forward looking statements within the meaning of section 27A of the Securities Act of 1933, section 21E of the Securities Exchange Act of 1934, and the Private Securities Litigation Reform Act of 1995. Forward-looking statements reflect management's current plans, estimates, and expectations, and are inherently uncertain. Actual results for future periods may differ materially from those expressed or implied by these forward-looking statements due to a number of risks or other factors that are described in greater detail under risk factors in our Annual Report on Form 10-K for the year ended December 31, 2021, filed with the SEC on March 21, 2022, and in our subsequent reports filed from time to time with the SEC. The forward-looking statements included are made only as of the date hereof, we undertake no obligation to update or revise any forward-looking statements as a result of new information or future events, except as otherwise required by law. You may find a reconciliation of GAAP to non-GAAP financial measures in our earnings release on our website. I will now turn the call over to Robert.
Robert Alpert: Good afternoon. I'm Robert Alpert, Chairman and Co-CEO. Today, we will discuss our first quarter 2022 financial results, what we're seeing in the market, what differentiates P10 from peers and why we think we build something unique in the alternative asset industry. I am pleased to report, we delivered solid financial results and met our quarterly objectives. Across the board key financial metrics reflect strong execution. We ended the first quarter with $17.6 billion in fee paying assets under management. On year-over-year basis, that is a 34% increase and on a pro forma basis that's a 27% organic growth rate. Year-over-year revenue increased 32%, GAAP net income was up 188%, adjusted EBITDA increased 31% and adjusted net income rose by 84%. All around I think our team has performed well, and we continue to see many growth opportunities. In March of 2022, we provided guidance that we expect to raise approximately $5 billion over the course of ‘22 and 2023. And that the cadence of capital raising will likely be more back end loaded in 2022, with momentum extending into 2023. I want to reiterate that guidance as we remain confident in our business model, our unique market position and best-of-breed solutions in private equity, venture capital, private credit and impact investing, because we believe clients around the world will continue to seek out superior returning strategies. With a record of performing through economic cycles, we believe we are well positioned to achieve our targets. Finally, I'm pleased to report the Board of Directors has approved the implementation of a regular cash dividend. Our inaugural quarterly dividend will be in the amount of $0.03 per share, declared on May 12, 2022 and paid on June 20, 2022 to all shareholders of record as of May 31, 2022. The board has also approved a $20 million stock repurchase program to take advantage of potential dislocations in our public valuation. We believe that both the dividend and the buyback reflect the beauty of our business model with strong free cash flow and nearly infinite returns on capital. We believe these announcements complement our existing effort to bring additional strategies to the P10 family through M&A. On that front, the pipeline remains full. Now I'll hand it over to our chief operating officer, Fritz Souder. Fritz?
Fritz Souder: Thanks, Robert. We continue to see momentum in our business and in the first quarter we launched Hark Fund IV or NAV lending solution and Bonaccord Fund II or GP stakes solution. We expect both funds will have a first close in the first half of this year. The fundraising effort is being led by the P10 marketing team. And this really speaks to the collaboration between our various affiliates across the P10 platform. We are also preparing to open a Dubai office where P10 marketing professional will be added to the team. We continue to see a lot of opportunities to raise capital outside of the US and this new office should drive additional global engagement. We also launched our Twelve Degrees Fund, a strategy focused on investing and providing capital solutions to leading emerging and first time alternative investment fund managers. For Twelve Degrees, we teamed up with Eaton partners to leverage their global placement network and to lead fundraising. We expect to continue to innovate with new products to meet demand and look for ways to partner with premier franchises. Demands from our LPs is strong and the deployment environment remains healthy despite the turmoil in the public markets. We believe our focus on the middle and lower middle market is an advantage as their underlying portfolio companies have far less leverage than larger peers and can exploit seams of growth in specific verticals. Not only do we see good demand for our funds, but our separately managed account business continues to thrive. In the first quarter, gross fee paying assets under management increased by $720 million. With about a third of that coming from SMAs originated from our venture capital vertical. I think that speaks to the outstanding fund performance and the trusted nature of relationships we've built over many years with both our LPs and GPs. We're excited about the opportunities we see ahead and confident in our ability to demonstrate solid organic growth in 2022. I will now turn it over to Clark for a few comments.
Clark Webb: Thanks, Fritz. We believe the volatility in today's market highlights the strength of our business model. Our revenue stream is primarily composed of management fees generated on long-term locked up capital. We have robust profit margins and excellent visibility into our future cash flows. With almost no CapEx, a small amount of interest expense, and a $500 million tax asset. We are incredibly efficient at converting $1 of adjusted EBITDA into $1 of free cash flow. This free cash flow can be directed towards enhancing shareholder returns, either through M&A, dividends, or share repurchases. Given the magnitude of free cash flow we expect to generate, we believe there's plenty of room for all three. Further, unlike our peers, carried interest does not flow through our P&L, which means we have added stability and visibility into our earnings stream regardless of market cycles. An additional ballast against volatile markets is our diversification across verticals and strategies. Today, P10 is highly diversified with four distinct verticals, private equity, venture capital, private credit, and impact. Within each of these verticals, we approach the market with multiple funds strategies. In Q1 for example, we had approximately a dozen funds in the market. We believe we have multiple ways to win for P10 shareholders. And because of our focus on the lower middle market, we generally don't compete with our larger or publicly traded peers. Finally, wild cycles come and go, we believe we sit at the intersection of certain structural trends in the market. One such shift is the emergence of impact investing. For over 21 years, our impact vertical, enhance capital has brought economic opportunity to disadvantaged and overlooked communities. As of 2021, enhanced capital has raised over $2.6 billion in impact assets and invested across more than 700 projects and businesses in 38 states, Washington DC and Puerto Rico. Investments include renewable energy, historic building rehabilitation, affordable housing, and small business financing. Many of the investments benefit businesses owned by underrepresented populations, such as women, persons of color, and veterans, in addition to creating jobs in underserved communities. In March of this year, enhanced capital was recognized by impact assets and selected for the IA 50 2022 Impact Fund Managers list. This distinction is evidence of the meaningful difference our projects have made in people's lives. We believe over the medium and longer term ESG minded investors will see P10 as an attractive place to invest capital. With that, let me hand the call over to Amanda.
Amanda Coussens: Thank you, Clark. I will review some of the key financial results for the first quarter of 2022. Fee paying assets under management were $17.6 billion, a 34% increase on a year-over-year basis. In the first quarter, $720 million of fundraising and capital deployment was offset by $395 million and step downs and expiration. Step downs and expirations are a normal part of our business and typically take place at the end of fund’s live or when a fund has reduced fees after a period of full beat. We expect an additional $684 million in step downs and expirations for the remainder of 2022. By way of comparison, for the trailing-12 months, step downs and expirations totaled $897 million. Revenue in the first quarter was $43.3 million, a 32% increase over the first quarter of 2021. Average fee rates were 99 basis points during the quarter. As a reminder, when you look at across a cycle of four quarters, you should see our fee paying assets under management deliver approximately 100 basis points of revenue. And for 2021 revenue did in fact average a 100 basis points at fee paying assets under management. Operating expenses in the first quarter were $31.7 million, a 31% increase over the same period a year ago, primarily attributable to additional operating expenses associated with the acquisition of Hark and Bonaccord and our continued investment in the business. Adjusted EBITDA in the first quarter was $22.5 million, a 31% increase over the first quarter of 2021. For the quarter, our adjusted EBITDA margin was 52% in line with our previous guidance that 2022 would be backend loaded due to the expected cadence of fund closings and revenue associated with capital deployment. Over the course of the full year, we expect to maintain a 55% adjusted EBITDA margin. For the first quarter, GAAP net income increased 188% and adjusted net income, ANI was $22.3 million and 84% increase over the $12.1 million reported in the first quarter of 2021. I believe our results this quarter continue to demonstrate our ability to efficiently convert $1 of adjusted EBITDA to adjusted net income. Cash and cash equivalents at the end of the first quarter were $23.7 million. With a strong operating cash flows, we have options for how to allocate our excess cash, which includes funding acquisition, paying dividends, repurchasing stock or paying down debt. In the first quarter, we made an additional $25 million debt payments, further reducing our debt balance and subsequently our interest expense. At the end of the first quarter, we added $125 million outstanding on the term portion of our loan, and $65.9 million outstanding on the revolver. We have $59.1 million available on the revolver and $125 million available as an accordion feature on our credit facility. We also signed an agreement at the end of the quarter to buy out $1.1 million options from a former employee of Active Power for $12.5 million which we paid in the beginning of the second quarter. Finally, at March 31, 2022, there were 35,686,073 Class A shares outstanding and 81,506,674 Class B shares outstanding. Now let's turn it over to the operator for a few questions.
Operator: [Operator Instructions] Our first question comes from Michael Cyprys from Morgan Stanley.
Michael Cyprys: Great. Thank you. Good afternoon. Thanks for taking the question. Maybe just coming back to some of the commentary around the fundraising goals that you've set out the $5 billion, it sounds like you guys are very comfortable with the prior guidance. You're reiterating that here this afternoon. We've been hearing from some others across the industry around some congested and crowdedness in the fundraising backdrop right here as well as denominator effect impacting LPs with the markets coming down for private portfolios, now just curious, what sort of impact you're seeing in the marketplace? How, to what extent is coming up in conversations? What is it out there that you see that gives you the confidence in that $5 billion fundraising goal? And just curious, your perspectives on that sort of commentary that we're hearing from peers and to what extent you're seeing it or not? And if you're not, why is it that what's different here that you're not seeing them?
Clark Webb: Yes, Michael, this is Clark. Thank you for the question. I would say a couple of things. And then I'll pass it over to Fritz for additional commentary. The first is, I think it's really important to recognize the verticals that we're in. They are not the verticals that the peers that you referenced are in, whether it's in private equity being in that lower middle market space, obviously, being an impact being in venture capital, even in our private credit, being in something like NAV lending, we feel like we do have a protected niche in that way. And folks are coming to us for something different than they might be going to some of our peers. That's the first thing. The second I'd say is, I think it's also instructive to remember the scale. So we've talked about $5 billion that we intend to raise over the next 18-months, many of our public peers raise that on a weekly basis. And so I think we're able to find those seams of growth in a market that may be a little different today than it was even six months ago. Fritz, anything you want to add to that.
Fritz Souder: Yes, I might just add what gives us comfort is that we are in front of LPs on a global basis, every day. And we have about a dozen funds that are currently in the market. Few new strategies that are out there and our guidance and our belief in that number is really based on discussions that we have with not only current LPs that may be cross-selling between units, also with new LPs that are interested in joining the one of the P10 verticals for the first time. So most confident state discussions.
Robert Alpert: So that being said, Michael, it's a good question. And as you -- as we look out, we were confident now, and things seem to be going well, the world changes all the time. But right now, we're still confident.
Michael Cyprys: Great, and if I could just a follow up question on M&A. Just curious how you see the current and volatile unless certain market backdrop here impacting the potential for P10 to perhaps transact on the M&A side just given this volatility? To what extent is that impacting the number of deals, the types of deals that are crossing your desk? How is the interest from sellers evolving? And how are multiples adjusted, if at all, in the private side?
Clark Webb: Yes, it's a great question. One of the things that we highlighted when we went public was our M&A is much more of a marriage than it is a five sale discussion. We historically have not engaged much in banker led processes. These are conversations that take years in some cases, to come to fruition, because we're not buying a firm from somebody, we are marrying that firm into the P10 family. And the reason that folks that have very successful 20 year strategies want to join us is really multi fold. Number one, they think we can accelerate their AUM growth. I think we're getting better at that. And we have much more of a track record doing that today than we certainly did at any point in the last five years. The second is because of how deep we are in the markets in which we play. We actually can accelerate capital deployment. If you think about one of the reasons why our GP stakes business or our Nav lending business decided to join us, that could have joined a lot of different folks, was their belief that not only can we help them raise capital, but also accelerate deployment, given the relationships we have in these verticals. And so with all that said, we absolutely have a lot of discussions going on the pipeline is full, we feel like there are some products that we would love to bring into the mix. And we do feel like we're going to be able to deploy capital into that arena in the next couple of quarters. Obviously, you won't know until it's signed and closed. But we are certainly busy in the M&A department.
Michael Cyprys: Right, if I can just sneak one more in there just on the pipeline, since you reference that on the M&A side. Just any color you could share just around how would you characterize that pipeline today versus 12-months ago? What are some of the types of strategies or distribution regions and channels sort of embedded within there or that could make sense to add in however you want to answer that?
Clark Webb: Yes, for us, I mean, we really stick to our knitting. There are three different types of acquisitions we'd like to make. Number one within our existing verticals within North America, adding a strategy or a capability that we don't have. Number two, doing exactly what we're doing today in the four verticals, but doing it in Europe and Asia. And then number three, adding a fifth vertical. There's activity across all three. And I'd say it's as busy as it's ever been.
Operator: Our next question comes from Ken Worthington from JPMorgan.
Ken Worthington: Hi, good afternoon. So maybe another question on sort of market environment. Curious to see how the conversation you were or the dialogue you're having with your investors in venture capital is changing at all. It seems like growth investing seems to be particularly focused, I'm sorry, VC investing tends to be most focused on emerging growth companies. And those seem to have been under a particular pressure this year and this quarter? To what extent is that impacting your dialogue in your VC business?
Clark Webb: Yes, it's a great question. There obviously is a lot out there in the public markets, I would say we operate much earlier stage. And we really focus our capital in the top 8 to 10 GPs that we all know about, and who have been very reticent to add new LPs for a long period of time. So from our standpoint, we really don't see a change in either our ability to raise capital or to deploy capital, our performance remains quite strong. So while the screen on things publicly traded may look one way I do think our funds look a bit different. We're much more focused on early stage. Robert, you wants you want to add something there.
Robert Alpert: Yes. But to your point, Ken, yes, it's certainly with the market, with the NASDAQ and high growth companies coming under pressure, it's certainly a bigger, it's certainly a topic of conversation with all our LPs and potential LPs whereas two quarters ago, it was almost nonexistent. And so there's certainly, just like all of us looking at what's going on in the marketplace. There's lots of conversation about it. It has not translated one way the other into, it certainly had an accelerated capital raising. But as we said earlier, it hasn't slowed it down, either. We're still -- we still believe we should be able to raise capital in our venture strategy.
Ken Worthington: Okay, great. And maybe just turning to expenses. I think there might have been a re-class, maybe last quarter between G&A and professional fees. So if I just think about those two lines together in the December quarter, the expenses, I think were about $5.5 million, this quarter, about $6.7 million. So like a decent jump. Is this a good starting point for thinking about the rest of the year? Was there anything unusual in the numbers this quarter?
Amanda Coussens: I'm sorry, Ken, I just want to confirm your question? You said professional fees were? Can you repeat that part of the question?
Ken Worthington: Yes, I think it's the combination of professional fees and G&A, if I look at those lines, yes, if I look at those lines together.
Amanda Coussens: Yes, so, right. Okay. Yes. We did have I would say onetime costs included within our adjusted EBITDA number of about $1 million. So I think as you think about it moving forward, the combination of the two less $1 million is good run rate.
Operator: Our next question comes from Robert Lee from KBW.
Robert Lee: Great, thanks. Good afternoon. Thanks for taking my questions. Maybe a couple thoughts on capital management. So the new dividend quarterly dividend of $0.03 if we look forward, or should we think of you in the future kind of targeting payout range with growth 20%, 25% or is there anything that we can think of as we look ahead, to kind of peg that too, and then maybe the second part of that is with the repurchase of the options, does that flow through to this, just want to check is that flows through to the share count so all else being equal say like a million odd shares exceeding commodity adjusted share count next quarter.
Clark Webb: You want to take.
Robert Alpert: So on the dividend, we have -- we don't have a target of payout ratio moving forward, as we look at our opportunities, being able to pay out the $0.03 every quarter. Looking forward, we have great visibility on that, it in no way impacts our ability to execute on any M&A strategy, given our cash flow. And if you think about our acquisitions, we're certainly buying cash flow as well. So it doesn't impact, it doesn't hurt us in any way like that. So right now, I think we would just continue to, I don't want to give any forward guidance in terms of what we want to expect that you'll hold me to. So I think we'll stick with $0.03. And then as we grow and continue to grow, and there's the ability to grow the dividend, we'll do that at the appropriate time.
Clark Webb: And then on the buyback. And I think it's instructive, we are in the business of deploying capital. And one thing that I think is unique about our model, at least historically, our free cash flow really doesn't have a targeted internal use, we don't have a balance sheet heavy business model, like some of our peers. And the GP commit, as you all know, is funded by the individuals, we think that bolsters alignment. So this free cash flow really is free cash flow, as Robert said, we think giving some of it back to our owners in the form of a dividend makes sense. We obviously are cognizant of the public markets and the opportunity that the public markets is serving up with our share price. And then the last thing is, we do believe that we can expand the franchise through M&A. But by buying back stock, we're basically buying back more P10. We know the valuation we know the business hopefully as well as anyone. And we think like we think it's a good use of capital.
Robert Lee: Okay, great. And then maybe a follow up for Amanda just wanted any, just a refresh on the adjusted EBITDA margin guidance. So if you fresh my memory, is 55% kind of exiting the year or if you're thinking 55% average for the full year, which would imply obviously, a big margin step up over the next couple of quarters and given the fundraising goals you have and fact that they may be more backend loaded this year and into next year. Do you have any range you think we should be thinking about for EBITDA margin as we model ahead to 2023 and beyond?
Amanda Coussens: Yes, I think so for 2022, I would say that average of a 55% adjusted EBITDA margin is correct and in terms of 2023.
Clark Webb: Yes, I mean, it's, so and your implied math is correct that the margins need to be higher in the back half of the year. That also corresponds with our fundraising. So it very much averages to 55%. But given where we started, it's not where we finish. And then on the out years, it really is a balance for us reinvesting into our business expanding our salesforce, we mentioned opening an office in the Middle East, versus generating a higher margin and paying that cash flow out. We feel like 55% to 60% is the right range. And in investment years, it's probably 55% and a more of a harvest year, maybe it has upward pressure. But we do feel like the guidance we set out a couple of quarters ago should hold.
Operator: The next question comes from Chris Kotowski from Oppenheimer.
Chris Kotowski: Good afternoon, and thanks for taking my question. I'm going to ask you about my favorite pages of the press release pages eight and nine. And the money pages and just kind of looking at the cadence of the fundraising. It looks like RCP16 still attracted more than $200 million this quarter. And now you see even some of the like 2021 dated funds still seem to add on nicely like the Co- Investment Fund and so on. And so, generally how long for how many quarters should we expect it or in those kind of historic flagship vintages fund, is it all kind of done by the second quarter.
Clark Webb: Well, so we made those changes because of the questioning that you gave us last quarter. So we want to make it certainly more transparent for you. So when you think about our fund series, it really depends by vertical. In our private equity vertical, we really always have a primary fund of funds in the market, there may be two or three days in the entire year, when we don't, our LPs really see us as a programmatic solution. So as soon as Fund XVI closes, I think we give the team a day or two often Fund XVII quickly launches. So that is always in the market. And you'll just see it go from one to the next. The other funds in our private equity vertical, are more episodic. And so as we have a final close, in our direct fund, for example, that we will stop taking capital, we're busy deploying those funds, and then we hope to be in the market with those follow-ons. Across our other vehicles, impact is essentially evergreen, private credit is also in many ways evergreen, because a lot of our capital charges fees on deployed. And then with our GP stakes business that is episodic, I think we highlighted that we expect to be in the market very soon with Fund II. And so that is something that we'll be talking about on a go forward basis. And then finally in venture. While we don't always have a primary fund open, you'll see we did reach our hard cap on Fund VII. We do have ancillary funds that are in the market. And there's also an SMA component that actually showed up nicely in Q1. So with TrueBridge, we are in many ways, mirroring the private equity playbook. We want to always have products in the market, providing solutions both to GPs and LPs alike. And so I think you'll see some creativity in the R&D lab there with some new products coming out.
Chris Kotowski: And with Hark Bonaccord, I think you mentioned the first close was due in the second quarter, is that going to be one of those things that's, are those funds going to be open for a couple of quarters? And we'll see it move up? Or is it there's going to be a first close and then a couple of quarters later, there'll be a second closed? And that'll be it for two or three years?
Clark Webb: Yes, with both of those funds, I would expect multiple closes and fundraising could extend beyond three or four quarters. It depends on market conditions. But it's a big amount of capital being raised in those two funds. And we certainly want to give everybody the opportunity to do their diligence and sign up.
Operator: Our next question comes from John Campbell from Stephens Incorporated.
John Campbell: Hey, guys, good afternoon. Thanks for taking our questions. So two questions. At first, just kind of bigger picture. I don't know how comprehensive or accurate that the industry stats are on this, but I'm sure you guys track at in some shape, form or fashion. But the question here is as far as like dry powder or un-deployed capital, what does that looking right now? And that could be across larger funds sponsors, or maybe just kind of zeroing in on the middle to lower middle markets. What does that look like now today versus kind of last few years?
Robert Alpert: You mean for the industry or for us?
John Campbell: For the industry.
Clark Webb: We do, it adds a tea in front of it if you add up all the different verticals we're in, we read the same report you do in terms of a $1 trillion in private equity and $800 billion in private credit, I will say that the big numbers don't impact us all that much. We really are focused on some niche year market, smaller end of the market, and where we actually feel like the heavyweight in many ways. So the big numbers come and go, we actually don't spend as much time thinking about some of those big industries.
John Campbell: Makes sense. And I'm just curious, I mean, obviously, a lot of volatility in the equity markets. A lot of outflows. I'm just curious just how impactful a net increase of the dry powder might look like for you guys.
Clark Webb: Yes, so let me say a couple of things. And then obviously, folks jump in. The equity markets are very volatile. The debt markets are volatile, too. We certainly think that may anew to our benefit given we do have 20 plus year track records and folks who've seen how our funds perform in the financial crisis in the tech wreck, and COVID they've kind of seen how we performed through the cycle. We certainly think we're a safe pair of hands. So we do think it's possible that folks would like to get out of a daily traded up and down 3% type of security and into something else. With that said, when markets sell off, everybody freezes for a minute, and then decides how to go forward. So what we're doing is we're focusing on staying in front of the LPs, making sure we get when we do have 2,500 LPs, which for a firm our size is quite a large number, we think there's a great opportunity for cross-sell. We're seeing that in the numbers. I know we talked about it a couple of quarters ago, we're now seeing the cross-sell show up in our numbers. And we feel like it is early days.
John Campbell: Yes, that's great color. And then second question here. Obviously, I think some of this could be helped by the new 1% dividend yield. And that's congrats to you guys for getting that instituted, and then also the buyback authorization, I think that probably helps. But relative to your valuation, I've personally been surprisingly stock still trading a couple of terms below your peers, I think when the pushback we get is around the lower tax rate now and views it that's not sustainable over time. You guys have talked to this several times. But I think it kind of bears repeating, if you guys can kind of run through your take on that and how or maybe why you should be a structurally lower taxpayer overtime.
Clark Webb: Yes, so thank you for the question. And we'd love for that yield not to be 1%. We'd love for it to be 50 or 25 basis points, the fund way, but the market can figure that out over the long term. In terms of the tax assets today, we've got about $525 million in tax assets. There's a slide in our earnings deck, I think it is slide 21. And it shows that about 200 million are federal NOLs. And then $300 million plus are from amortization. So we do feel like at least $500 million of our earnings are going to be tax free. But then it raises the question on as we do additional M&A, we fully expect to get the benefit of additional amortization and step up as we expand the platform. And so commensurate with additional deals that we do, you should see that the amortization balance actually grow. And there is a virtuous cycle there. So we think we should have a structurally lower tax rate because of that. Now if for some reason, we don't find additional ways to deploy our capital to expand the franchise through M&A, it just means that the owners are going to end up getting a lot of dividends and a lot of share repurchase because we do have our free cash flow is truly free cash flow. There really are no internal reinvestment needs for the business.
Operator: Currently, we have no further questions. Therefore, I would like to hand back to Robert Alpert for any other remarks. Robert?
Robert Alpert: I would just want to thank everyone for their interest in P10. And thanks for joining us today and we look forward to, we will be out and about at conferences and visiting investors over the next quarter. So we look forward to meeting or seeing anyone and everyone there and if not, we look forward to touching base with you at our next quarterly conference call. Thanks very much.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. Thank you for being with us today. Have a lovely day ahead. You may disconnect your lines.